Operator: Greetings and welcome to the ASGN Incorporated Fourth Quarter and Full Year 2024 Earnings Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to introduce your host, Kimberly Esterkin, Investor Relations. Thank you. You may begin.
Kimberly Esterkin: Good afternoon. Thank you for joining us today for ASGN's fourth quarter and full year 2024 conference call. With me are Ted Hanson, Chief Executive Officer; Rand Blazer, President; and Marie Perry, Chief Financial Officer. Before we get started, I would like to remind everyone that our commentary contains forward-looking statements. Although we believe these statements are reasonable, they are subject to risks and uncertainties, and as such, our actual results could differ materially from those statements. Certain of these risks and uncertainties are described in today's press release and in our SEC filings. We do not assume any obligation to update statements made on this call. For your convenience, our prepared remarks and supplemental materials can be found in the Investor Relations section of our website at investors.asgn.com. Please also note that on this call, we will be referencing certain non-GAAP measures, such as adjusted EBITDA, adjusted net income, free cash flow. These non-GAAP measures are intended to supplement the comparable GAAP measures. Reconciliations between GAAP and non-GAAP measures are included in today's press release. I will now turn the call over to Ted Hanson, Chief Executive Officer.
Ted Hanson: Thank you, Kim and thank you for joining ASGN's fourth quarter and full year 2024 earnings call. Throughout 2024, we remained committed to advancing ASGN's business towards higher-end, high-value IT consulting solutions. This commitment is reflected in the growth of our IT consulting revenues. For the year, IT consulting revenues from both the commercial and government sectors comprised approximately 58% of total revenues, up from roughly 53% in the prior year period. While Q4 revenue was slightly below expectations, the highlight of the quarter was once again gross and adjusted EBITDA margins which exceeded our expectations. Despite IT budgets remaining constrained, our pipeline of work has continued to expand. Double-digit year-over-year growth in commercial consulting bookings in the fourth quarter underscores our participation in our clients' long-term IT strategies. As we transition into 2025, we are beginning to see an improvement in business confidence, although we believe a turnaround in IT spending has yet to materialize. To meet the anticipated growing demand for IT services, we remain closely aligned with our enterprise and federal government customers, understanding their strategic needs and positioning our solutions accordingly in key areas such as AI, cybersecurity, and data. Maintaining deep customer relationships with the Fortune 1000 and key defense and intelligence agencies is essential to ASGN's market differentiation. Also important to driving the underpinnings of our long-term strategy is the depth and breadth of our leadership team. As part of a planned succession, we recently announced that our President, Rand Blazer will transition to the role of Executive Vice Chairman this March. I'll elaborate on Rand's continued commitment to our company, as well as welcome our newest executive team addition, Shiv Iyer, who will be joining us from Accenture, later in today's call. Beyond a forward-thinking leadership team, successful tuck-in acquisitions are core to enhancing our organic consulting growth. We continued our M&A efforts in 2025, announcing just yesterday our definitive agreement to acquire TopBloc, a preferred certified Workday Services Partner. I'll discuss the strategy behind the TopBloc acquisition shortly, but first, let's turn to our segment performance for the quarter. Our Commercial Segment services Fortune 1000 and large mid-market companies. Revenues for the segment were again driven by growth in our consulting business, which improved 6% year-over-year. Consulting bookings of $348.2 million put our book-to-bill at 1.2 times for the quarter and 1.1 times on a trailing 12-month basis. Although consulting bookings remained weighted towards renewals, a reflection of our strong client relationships, our new work continues to grow each quarter. From an industry perspective, growth for the quarter was led by our TMT and Consumer & Industrial verticals. The TMT vertical improved mid-single-digits compared to the fourth quarter of 2023 and also improved low single-digits for the full year. Improvement in TMT revenues were led by growth in e-Commerce and Media & Entertainment accounts. Consumer & Industrial accounts improved low single-digits as compared to the prior year quarter, driven by double-digit improvement in utilities and material accounts along with mid-single-digit growth in Consumer Staples and Consumer Discretionary accounts. While the financial services vertical declined year-over-year within the vertical, Big banks, Fintech and Diversified Financials all improved low single-digits on a billable day-adjusted basis. As one of the largest spenders on IT, this improvement within the Financial Services vertical, especially amongst our Big Banking clients is a move in the right direction. On a sequential basis, adjusting for the two and a half fewer billable days in the quarter, Consumer & Industrial accounts improved low single-digits with growth in the Utility, Consumer Staples, Consumer Discretionary, and Industrial sectors. We also achieved a low single-digit growth in the health care vertical with advancements in both payer and provider account. Consulting engagements for the fourth quarter focused on our cloud and data infrastructure, cybersecurity, and AI solution capabilities. Let me provide a few noteworthy examples. In the fourth quarter, a prominent freight and transportation clients engaged ASGN to migrate their legacy on-premise data management center to the cloud. Our team of data experts conducted a comprehensive assessment of our clients' 25-year-old system, developed architectural roadmaps, and consulted our client on their migration to AWS Cloud. Once fully migrated to AWS, we will proceed to modernize our clients' architecture by adopting cloud native practices that provide enhanced agility, scalability, and a robust foundation to leverage advanced services such as data, analytics, and AI. With vast amounts of data moving to the cloud, there is an increasing need to protect sensitive enterprise information. As noted last quarter, we continue to fortify our Governance, Risk, and Compliance, or GRC, Practice, which leverages our commercial and government cybersecurity resources to support our commercial industry clients. In the fourth quarter, our GRC consultants, partner with a Medical Technology Company to help them achieve HITRUST Certification. Our client was looking to achieve this cybersecurity certification, which combines regulatory and industry standards by year end. Our combined commercial and government team seamlessly collaborated with our clients, quickly developing the domain knowledge needed to achieve the HITRUST Certification and prompting our client to extend our engagement into 2025 for ongoing advisory support. Also during the quarter, we were engaged by a technology company to establish a center of excellence to streamline the onboarding of various retailers onto their platform. By identifying onboarding commonalities, developing best practices, and addressing procedural anomalies, our solution architects collaborated with our clients to create a gold standard for retail implementations. As this project continues, we will create more automation around the monitoring compliance and securing of sensitive data. Importantly, as the creator of this center of excellence, we've become an integral part of our clients' professional services organization, assuming responsibility for the onboarding of their retail partners. Our IT consulting solutions create efficiencies that help our clients deliver more value to their customers, while also improving outcomes for their internal teams. A Fortune 500 energy company tasked our AI consultants with developing a cutting-edge conversational GenAI Chatbot, custom-built in Microsoft Azure's Cloud. This multi-agentic application provides real-time IT support via connection to back-end knowledge repositories that empower our chatbot to troubleshoot a wide range of technical IT issues in record time. When the chatbot cannot independently resolve the IT issue, it seamlessly integrates with ServiceNow to create a ticket ensuring an efficient and timely resolution. While it will likely be several quarters before we see enterprise-wide applications of GenAI, many companies like our energy clients are implementing targeted AI models that focus on high-impact use cases to improve efficiency, reduce costs, and provide deeper data insights. As we evolve our business, we are not only upscaling our teams in the latest GenAI applications, but we're also strategically partnering with industry leaders knowing that these tech partnerships are integral to our continued success. Thus far today, I've highlighted projects in which our consulting teams have partnered with Amazon Web Services, Microsoft Azure, and ServiceNow, each of which, amongst other tech innovators, comprise our core group of technology partners. As we enter 2025, I am pleased to welcome one more technology partnership to that list, Workday. As I noted at the beginning of the call, ASGN signed a definitive agreement to acquire TopBloc, a leading high-growth tech-enabled Workday consultant. While Marie will provide further details on the acquisition financials, I'll focus my commentary on our strategy and market opportunity. Recognizing a growing customer demand for ERP implementations and related services, we identified Workday, a leader in enterprise cloud applications with over 60% of Fortune 500 as customers. This led us to TopBloc a company purposefully built to partner with the Workday platform. An industry innovator, TopBloc's team of over 500 consultants, leverage a proprietary deployment model that accelerates customer time to value. In addition, by increasingly incorporating AI into its offerings TopBloc improves efficiency for its customers and differentiates its implementation processes. Beyond the initial implementation of Workday, TopBloc also provides post-deployment services that foster long-term customer relationships. With more than 300 Workday installations over the past five years, TopBloc's consultants are well-positioned to gain immediate scale in the ERP market, which Workday has identified as $160 billion in size and growing. We anticipate TopBloc's innovative solutions will seamlessly integrate with our commercial consulting customer base as well as provide significant opportunities within the federal government sector. Speaking of our government customers, let's now turn to our Federal Government Segment whose services include advanced IT solutions for the Department of Defense, the Intelligence Community, and other critical agencies that support our national security. The Federal Government segment win rate remained robust for the fourth quarter at approximately 90% for our re-competed contracts. Although revenues fell below expectations, predominantly due to the lower-than-expected software licenses, net new contract awards of $283 million put our book-to-bill 1.0 times for the quarter and back to our target of 1.1 times on a trailing 12-month basis. In addition to booking strength, at year end contract backlog was over $3.1 billion or a coverage ratio of 2.5 times the segment's trailing 12-month revenues. Discussions of backlog and thus, indications of future performance, lead me to a topic gaining a lot of attention of late, that of the new administration spending initiatives and in particular, the Department of Government Efficiency, or DOGE. DOGE has been tasked with modernizing federal technology and software, including upgrading network IT systems ensuring data integrity and facilitating responsible data collection, all with the end goal of maximizing governmental efficiency and productivity. While it is still in early days, we believe that DOGE's priorities could lead to an increased emphasis on our core solutions and capabilities in AI, cybersecurity, and digital modernization services, which comprise the vast majority of our federal government revenues. Alongside the solutions we offer, the agencies we support are also strongly aligned with the government's budget priorities. Two-thirds of our federal government revenues are derived from contracts with Department of Defense, Intelligence Agencies, and the Department of Homeland Security. The remaining one-third of revenues comes from more high-end IT business operations and modernization services for civilian and state and local agencies. This includes cloud, data management, and cybersecurity services, all aimed at automating and modernizing governmental processes. So, let me provide a few examples of contracts we won during the fourth quarter that further underscore our commitment to upgrading and enhancing government IT infrastructure. For the U.S. Navy, we were awarded additional work on an existing defense and intelligence contract in which our teams are providing data center management to two Navy Installations, one in Norfolk, Virginia and the other in Coronado, California. As part of this new fixed price contract, we will support the Navy's secure global public safety network and manage their data center, which provides essential naval business functions worldwide. Beyond defense and cybersecurity, we are also seeing sizable bookings to support healthcare IT modernization. In December, we were awarded our first task order under a four-year prime contract with the Department of Health and Human Services. By providing program and financial management services, we will assist the Advanced Research Projects Agency for Health to address scalability and global supply chain challenges to increase the efficacy and productivity of their future programs. As we improve efficiency for our government clients, we also continue to invest in our own technological capabilities. For instance, for the past two years, we've been building a differentiated solution at the intersection of AI and cybersecurity. This solution helps organizations identify and prioritize remediation of secured vulnerabilities using advanced mathematical AI models that save our clients and our internal cybersecurity team, time and money in the protection against cyberattacks. In addition, during the fourth quarter, we successfully deployed an in-house AI platform that enhances our business development, capture and proposal workflows. We plan to expand the use of this platform to other operational workflows throughout 2025 in order to drive measurable gains in productivity and quality for our internal teams and our clients. With that, I'll turn the call over to Marie to discuss the fourth quarter results and our first quarter 2025 guidance.
Marie Perry: Thanks Ted. It's great to speak with everyone this afternoon. For the fourth quarter, revenues totaled $985 million, a decrease of 8.3% year-over-year, but essentially flat to the third quarter on the same number of billable days. Revenue from the Commercial Segment were $692.7 million, a decrease of 7.5% as compared to the prior year. Assignment revenues totaled $408 million, a decline of 15% year-over-year due to continued softness in the more cyclical portion of our commercial business. Revenue for the commercial consulting, the largest of our high-margin revenue streams outpaced our expectations and totaled $284.7 million, up 6% year-over-year and flat sequentially. Revenues from our Federal Government segment were $292.3 million, a decrease of 10.2% year-over-year. When we prepared our guidance for the fourth quarter, we anticipated we would have a consistent level of software licenses year-over-year. As Ted noted, license revenues were lower than our expectations by approximately $20 million to $30 million for the quarter. Lower license revenues as well as the delay in certain research and development projects due to the continuing resolution led to the revenue shortfall for the quarter. Our Commercial Segment on the other hand outperformed our expectations. Turning to margins. Gross margin for the fourth quarter of 2024 was 29%, an increase of 60 basis points from the fourth quarter of last year and exceeded our expectations. Gross margin for the Commercial Segment was 32.6%, up 50 basis points year-over-year, reflecting a higher mix of consulting revenues as well as margin expansion in these revenues. Gross margin for the Federal Government segment was 20.5%, up 60 basis points year-over-year, primarily due to higher mix of fixed price and time and materials contracts. SG&A expense for the quarter was $197.9 million compared to $203.6 million in the fourth quarter of 2023. SG&A expense also included $1.9 million in acquisition, integration, and strategic planning expenses, not included in our guidance estimates. For the fourth quarter, net income was $42.4 million, adjusted EBITDA was $109.7 million and adjusted EBITDA margin was 11.1%. Adjusted EBITDA margin also exceeded our guidance expectations for the quarter due to the outperformance of our commercial segment, which resulted in a higher mix of commercial revenues. In addition to this favorable business mix, we saw the expansion of margins within the commercial consulting revenues for the quarter. At quarter end, cash and cash equivalent was $205.2 million. We had full availability under our $500 million senior secured revolver and our net leverage ratio was 1.86 times. Free cash flow was $88.9 million for the fourth quarter, a conversion rate of approximately 81% of adjusted EBITDA. In the quarter, we deployed $43.9 million to repurchase 0.5 million shares at an average price of $90.45. On a full year basis, free cash flow totaled $364.7 million, also a conversion rate of approximately 81% of adjusted EBITDA. With active share repurchase in the first three quarters of the year, even with the slowdown in Q4 repurchases in advance of the due diligence for the TopBloc acquisition, in 2024, we deployed $327.2 million to repurchase 3.5 million shares at an average price of $94.06. We have approximately $529 million remaining under our $750 million share repurchase authorization. A strong free cash flow provides a strategic advantage that enables ASGN to fund key growth initiatives, opportunistically repurchase shares and invest in strategic M&A, all while maintaining a healthy balance sheet. By following a disciplined and balanced approach to capital allocation, we can invest in high-return opportunities and prudently manage our leverage, driving sustainable long-term value to our shareholders. As Ted mentioned earlier, we signed a definitive purchase agreement to acquire TopBloc for $340 million, consisting of 90% cash and 10% equity. The acquisition, which remains subject to HSR approval, is anticipated to close late in the first quarter. Post-close, we anticipate our net leverage ratio will be approximately 2.4 times after borrowing approximately $200 million on the revolver related to the acquisition. With our acquisition of TopBloc, we will begin to allocate free cash flow towards paying down revolver. Turning to guidance. Our financial estimates for the first quarter of 2025 are set forth in the earnings release and supplemental materials. These estimates are based on current market conditions and assumes 62 billable days in the first quarter, which is 0.75 fewer than a year ago period and one day more than the fourth quarter. Our first quarter guidance incorporates three main considerations. First, while business optimism is improving, we expect market conditions and demand for our services in the first quarter of 2025 will be similar to that of the fourth quarter of 2024. Second, with regards to EBITDA margin, the first quarter typically sees approximately 100 basis point decrease sequentially related to the annual payroll tax reset. Third, our first quarter guidance does not include contribution from TopBloc. For the full year 2025, TopBloc is expected to generate approximately $150 million of revenue, which represents year-over-year revenue growth in excess of 20%. We anticipate roughly nine months of TopBloc full year revenues will be incorporated in our 2025 financials given the timing of the close. TopBloc also anticipates EBITDA margin in the high teens for 2025. With this background, for Q1 2025, we are estimating revenues of $950 million to $970 million, net income of $27.8 million to $30.7 million and adjusted EBITDA of $91 million to $95 million and adjusted EBITDA margin of 9.6% to 9.8%. Thank you. I'll now turn the call over to Ted for closing remarks.
Ted Hanson: Thanks Marie. As I mentioned at the start of the call, at the beginning of March, our current President, Rand Blazer, will be transitioning to the role of Executive Vice Chairman. In Rand's place as President, we are thrilled to welcome Shiv Iyer, formerly of Accenture. Over the past 12 years, Rand has played a pivotal role in driving ASGN's impressive growth and transformation. His leadership in conjunction with our broader executive team has been key in evolving ASGN from a diversified staffing player to a top-tier provider of higher-end, high-value IT services. Rand has not only spearheaded our go-to-market strategy, but he has helped to elevate the quality of our broader leadership team, prioritizing their development and success. As both my long-term colleague and close friend, I'm very grateful for Rand's continued involvement with ASGN and for the strong foundation he has helped build for our company. In Rand's new role, he will advise ASGN on key strategic initiatives while helping ensure a seamless handover and leadership to Shiv. Shiv brings over two decades of consulting experience to ASGN, having much recently led Accenture's Consulting and Industry X Solutions across the Americas. His experience leading large-scale consulting businesses in combination with the industry and M&A expertise, make an excellent fit for ASGN as we continue to move up the IT services pyramid. I am confident that Shiv will help propel our company to new heights, and we are very excited to have him on board. We look forward to having Shiv join us on our first quarter 2025 earnings call in April. As we wrap-up our prepared remarks, I'd like to reflect on some of the most important points we covered today. We are committed to building ASGN for the future and continue to position our business towards higher-end, high-value IT consulting services and solutions. We are achieving our long-term goals through the expansion of our IT consulting revenues, bookings, and margins, the introduction of new leadership as just discussed, and the addition of strategic tuck-in acquisitions such as TopBloc, whose solutions can be sold across our commercial and government customer base. Additionally, we maintain a robust portfolio of enterprise and federal government clients in six key industries to whom we offer innovative solutions aligned with a demand for cost savings and efficiency. Of note, we demonstrated strength in the TMT vertical throughout 2024. And as we exited the year, we began to see improvements with our Big Banking clients, which are some of the biggest investors in information technology. As business confidence steadily increases, we are certain that we have strategically positioned our business for sustained growth. Before opening up the call to questions, I'd like to extend our deepest sympathies to our Los Angeles teammates and their families impacted by the recent wildfires. Our thoughts are with all of those impacted and we are committed to supporting the affected communities during this difficult time. I also want to thank everyone at ASGN for your dedication and hard work this past year. Together, we move forward into the new year with a collective determination to advance ASGN toward even greater success. Thank you again for joining our fourth quarter and full year 2024 call. Operator, please open the call to questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jeff Silber with BMO Capital Markets. Please proceed with your question.
Jeff Silber: Thank you so much. I wanted to focus first on Federal Government, not surprising. Can we get a little bit more color in terms of the types of conversations that you're having with folks? I'm just wondering, I know it's still early. But what are they saying about what the potential impact might be on the new administration?
Ted Hanson: Yes, Jeff, thanks for the question. I think, frankly, everyone in that marketplace is trying to figure out exactly what the impact may be. Even our clients who are still trying to learn, there's just a lot going on and things are breaking here by the hour and the day. If I sit back and look at our portfolio of business, if you think about services and cyber, AI, data cloud, IT modernization, those are all things that the government is in high need of and it's going to be durable here. And while there may be some bumps in the road here week-to-week, month-to-month, quarter-to-quarter as we work through what's going on with the new administration in DOGE, obviously, the answer for the federal government long term is to modernize IT systems and take advantage of technology to be more efficient. And then if you think about our customer set, DoD, Intel, Department of Homeland Security, and Justice is about two-thirds of our revenue. If you add to that the cyber work we do in commercial and flood out of the Federal Government units, all of a sudden, you're at greater than 75%. And again, we think those things are fairly durable. But I would not ignore the fact that there's a lot of arm-waving going on in that marketplace right now. And so the key for us is to stay close to our customer and to help them, if you will, in terms of bringing services that help automate use technology, modernize their operations so that they can ultimately protect us and also be more efficient and productive.
Jeff Silber: All right. That's helpful. I'm just curious, though, beyond the, I guess, you called it arm-waving, have you seen any slowdown either in terms of awarding contracts or paying contractors? I'm just wondering with all the disruption that's going down there, if it's just business as usual, if there's -- there's been some issues already?
Ted Hanson: Yes. So, I think it's too early to say, is there a slowdown in payments. We haven't seen that. So, I would say no sign of that right now. As it relates to new awards, it's a mixed bag, if you will, by area of the government and customer. We've actually won some things here in the recent couple, three weeks, which we were waiting on, which is a positive sign. I think in other areas, obviously, there's an edict out there in certain agencies to pause on the award of new work or new RFPs, and so we're watching it closely. So, I'd say it's a little bit agency by agency, but we're seeing a little bit of some new awards and some slowdowns.
Jeff Silber: Okay, appreciate the color. Thanks so much.
Operator: Thank you. Our next question comes from the line of Trevor Romeo with William Blair. Please proceed with your question.
Trevor Romeo: Afternoon team. Thanks so much for taking the questions. First, I just want to say, Rand, been great working with you, best of luck in the new role. I also look forward to working with Shiv as well. Then in terms of questions, first one is on TopBloc. It seems like it will be nicely accretive to growth in margins. Just kind of wondering, from a strategy perspective, would love any thoughts you have specifically on the Workday ecosystem, how you evaluated the long-term opportunity and kind of the strategic importance there and then maybe what kind of potential synergy opportunities could you see materializing with your existing business?
Ted Hanson: Great. Well, I'll start and I'll let Rand jump in. First of all, Trevor you can't say goodbye to Rand yet, he's obviously is going to be here, which we're excited about. And I think it's a combination of Rand being here with all his institutional knowledge and deep experience in the sector, combined with Shiv now coming with his background and our existing leadership team across our commercial and federal units, and we're just really adding strength there, if you will, to the leadership team as we go forward. On the TopBloc question, we talk about this as we communicate with you when you think about capital allocation, M&A -- the right strategic M&A has been the highest and best return of invested capital for our shareholders. We still see that and see it in this case. We have shopping list, if you will, which are solution capabilities that we see our customers are in need of today and in the future. So, that's a great go by, if you will, for what needs to be at the top of our list. And enterprise system capabilities specifically in Workday was one of the few things at the top of the list. So, as always, we're working in the market, developing pipeline in these areas and think that there's a lot of room to go for TopBloc both in the mid-market, which is a lot of its customer base. And in the enterprise, which is a lot of our customer base in commercial and for the federal government, which is easily a big initiative of Workday overall. I think Workday here and their last earnings reported about 15% growth year-over-year. So there's certainly a strong demand for their software. And then I think last, I would just say, if you think about the world in terms of where we're going with data and AI. The ERP systems house both financials and human capital management really own the data set, if you will, inside of our large enterprise accounts. And so to deploy AI effectively across an organization, you've got to have success and expertise around the data and the enterprise system. And our view of data into AI where we'd like to go with it we felt like this was an important capability add, if you will, in that way as well. So, it was really all of those things. And then as we always say, it has to be accretive to growth, which this obviously is, it has to be accretive to our margin profile, which is this definitely is. And we think that -- we think we've got one of the best businesses in the Eco Workday system to partner with now, and it's only going to be a much bigger business in the future because of our combined efforts.
Trevor Romeo: Excellent. Well, thanks for that color Ted. And then my second one, I guess, just maybe one on sort of the overall demand, client budget environment in commercial. I think, Ted, you did mention the increase in business confidence, I think we've all kind of seen in the last few months. So, are you starting -- there's still a lot of uncertainty out there, but are you starting to see any initial signs of improving activity? More willingness to take meetings? Anything like that? Nice acceleration in your bookings this quarter. Is it just too early to say or are you actually starting to see any encouraging signs at this point?
Ted Hanson: Yes. I'll let Rand take that one. Rand, do you want to take that?
Rand Blazer: Well, listen, I think we do. We look at a number of markers, we look at backlog, we look at our pipeline, we look at the bookings and where the bookings are coming. We look at the sectors, which Ted pointed out in the earnings call, where we're seeing sequential growth. We look at, generally, our activity levels and the flow of business, which maybe not has yet translated into revenue, but we can see the precursors for that. So, that's what gives us confidence. And it's coming in certain sectors, as Ted mentioned, that we know are good bellwethers for IT spend, financial services, one of them. So, does that give you a sense, Trevor, of the plethora of things we look at?
Trevor Romeo: Yes. Thank you Rand, that was helpful. I really appreciate it guys. Thanks.
Operator: Thank you. Our next question comes from the line of Joseph Vafi with Canaccord. Please proceed with your question.
Joseph Vafi: Hey everyone. Good afternoon. Thanks for the questions. And Rand, congrats, we're going to miss you on these calls and Shiv welcome on board as well. Maybe we kind of -- I know we've been talking about financial services here for a bit. Maybe we drill down in it a little bit. And maybe it would be interesting kind of at a high level, I mean, you're kind of talking about big banks, if we kind of rewind the clock to kind of the pre-normalized environment we were in, kind of where was big bank mix in that vertical versus where it is now? Just trying to get a feel for kind of how much upside there is back to a normalized level there? And then I have a follow-up. Thanks.
Ted Hanson: So, Joe, if you think back, obviously, when we got into 2022 as things begin to decelerate, Big Tech was the first one down, financial services and big banks not too far thereafter, both positioning more intensively, obviously, for what they thought might be a recession in the economy. Tech during the course of 2024 is returned. Now, financial services and big banks look like there, have bottomed out, and we're starting to see a little bit of a tick up here. It typically of our commercial business. I don't have this in front of me, Rand, but it would have been 20% to 25% of the revenue mix -- about.
Rand Blazer: Correct. Estimate in the low 20s -- low 20s.
Ted Hanson: Right. And so it's obviously in the high teens right now of commercial, Joe, just to put it in perspective and 15% of the total ASGN revenues. So, maybe that gives you an order of magnitude.
Joseph Vafi: Sure, that's very helpful. Thanks Ted and Rand on that. And then secondly, kind of just looking at the business a little more broadly. Obviously, it's great to see the consulting bookings continue showing resilience. But kind of looking at the broader business, it kind of feels like maybe we should have seen some of the assignment business, which is a leading indicator, start to have a little more sequential strength. Just wondering if you're seeing kind of a structural change in the market out there where maybe firms are going to be -- your clients are going to maybe opt for more consulting revenue and not kind of lean on the assignment side of the business as much in this cycle versus others. Thanks a lot.
Ted Hanson: Yes. Well, Joe, I mean, obviously, we've talked about this a lot in prior cycles. It's been the IT staffing and the creative digital marketing staffing that's let us up here as there's been a return. The rep flow would tell you as it kind of built through the fourth quarter that the, I'll call it, the need from clients is there, but there's a little bit of lead lag to it. So, we just haven't quite seen that yet. And then structurally has been changed. I mean I think we'll have to watch that and see -- I don't know, Rand, I don't think that's our sense that anything structurally has changed. But obviously, we're positioned for any kind of change. I mean we're here to serve them both on this -- on the IT staffing and creative digital side and on the consulting side.
Rand Blazer: Yes. And Ted, you may remind people that we typically see a fall-off of business and revenue as we go from Q4 to Q1 of about 4%, I think we've said many times in the past. So, some of that is just people ending in the first year -- the previous year of work, and then you have to gear up and start the second year, the following year. So, we're going through that lead/lag process right now. But I think as you said, Ted, our rep flow is generally a positive, particularly in certain sectors. And so--
Ted Hanson: Yes. And I think that's a good thing to point out broadly from -- if you went back and looked at last year, Q4 to Q1, if you look at this year, Q4 to Q1, something in the low to mid-single-digits as a normal kind of seasonable -- we're going to reset from the fourth quarter into the first.
Joseph Vafi: Sure, great. Thanks for that color.
Operator: Thank you. Our next question comes from the line of Kevin McVeigh with UBS. Please proceed with your question.
Kevin McVeigh: Great. Thanks so much and Rand, thank you for your service -- and continued service. Hey I wanted to, I guess, a couple of quick questions. Just on the TopBloc acquisition, and I just did kind of some quick math. I don't know if the revenue is about $150 million, and I think you said they have 500 consultants, does that imply maybe a bill rate of about $150 -- $200 an hour? Is that a fair way to think about it in terms of what the bill rates go off at?
Ted Hanson: Look, that would be the math of it, Kevin. We're not going to disclose bill rates. And so not today or going forward, but obviously, there's the math there that you could do, and it's -- you're probably in that range.
Kevin McVeigh: Okay. Thanks. And then I guess with the acquisition and the leverage going on the balance sheet, does that impact the buyback at all going forward?
Ted Hanson: Well, look, I think we, obviously, at today's size and scale, don't have to exclusively follow one path. I mean we'll be focused on deleveraging. I think Marie, our leverage post transaction is...
Marie Perry: 2.4 times.
Ted Hanson: 2.4 on a net basis, right?
Marie Perry: That's right.
Ted Hanson: So, it's modest based on where we've been historically, we've always said that when we're below 2.5, we can pursue whatever the next capital allocation activity is, whether that's repurchasing shares or it's an acquisition. So, we've only got a couple of quarters here of needed free cash flow to work into the delever. So, I would expect you'll see us pursue, but it will depend on what's the best allocation of that next dollar capital.
Kevin McVeigh: That's helpful. And I guess in terms of the Federal business that you have, it sounds like if there was anything relative to expectations in the quarter that didn't come in? Was it the license sales on the federal side? Is that right? And just remind us what percentage of it -- can you just remind us what percentage of the federal business is licensed versus managed services versus consulting?
Ted Hanson: Yes. So, we don't release that number, Kevin, but the miss on revenues was solely that unexpected realization of the software licenses, it was specific to a client. It was $20 million to $30 million of revenue and so obviously, we still delivered on the bottom-line. That stuff carries very little margin to it. So, the software license stuff can be a little whimsical, but that was the only thing behind the miss on the revenue side.
Kevin McVeigh: And again, was that a federal license?
Ted Hanson: Correct. There are licenses associated with some of our AI work, some of our cyber work, some of our other IT modernization work. And so the client determines when they're going to pull on those as needed. They're part of the implementation, and then they're a part of the -- obviously, the ongoing use of the system.
Kevin McVeigh: Understood. And again, not to -- and this would be my last question, I've asked a lot of questions. But has that had anything to do with some of the pause at the federal level? Totally independent--
Ted Hanson: Not related.
Rand Blazer: And Ted you should probably mentioned -- Ted, you should probably mention that sometimes the contracting officer prefers to go direct to the vendor for those licenses and going through some intermediary like us. And we see that maybe more of the trends than anything.
Kevin McVeigh: And what would the that? Rand, whether they go direct or through you?
Rand Blazer: They could -- they could save a little bit of margin perhaps on the pass-through or it's really a question of how they want to buy and maybe who the different procuring agents are. What could be workload internal workload. I mean there are a lot of factors that probably play into how they make their decisions. But I think to go back to the point, I don't think you can read into it, they've decided to go directly by the license instead of through us. That's what's happened in the recent and I don't think that's a matter of any slowdown or anything else. It's just a different path for procurement.
Kevin McVeigh: Got it. Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Tobey Sommer with Truist Securities. Please proceed with your question.
Tobey Sommer: Thank you. I was wondering if you could dig in and give us a little bit more color on your Fed-civ exposure within the ECS government business. I know when we think about it from an activity basis, you do provide higher-end cloud, IT modernization, et cetera, but somebody was probably providing some of those services that are objectively efficiency driving services at USAID and everything paused there. So, could you give us a little more color and granularity on the civil side?
Ted Hanson: Probably the best way, Tobey, to speak about it is there's not any client in that group that's more than kind of mid-single-digits of revenue, and it's fairly dispersed. It really doesn't cover many, if any, of the regulatory agencies without getting into too much detail, I mean, I think, obviously, any of these agencies could be examined by DOGE. But I think we don't have a concentration of revenue even in the 33% that we would call that civilian. And honestly, it's really only, you got 10% of that, as I mentioned earlier, is commercial and SLED. So, really, you're down to about 23% of that. And so there's no concentration, and it's all higher-end IT modernization, cybersecurity, data and AI, cloud work. And while we don't know what we don't know, I think we're about as well-positioned as you can be vis-à-vis the services there -- the revenues.
Tobey Sommer: Could you talk to us about the deal, how you came to know TopBloc? Was it an auction process? And how did equity become a component of the value?
Ted Hanson: Sure. It was a firm that we had met and knew of a couple of years ago, actually, at the same time, we were making our GlideFast acquisition, and we, at that time, prioritize ServiceNow is at the very top of our list but we've been watching this firm. We got reengaged with TopBloc here in the last number of months, going back to the middle of last year. We've seen their progress, obviously, our list had been refined and polished and Workday kind of stood up there with a couple of other things at the top of the list. It was a minority ownership by private equity, and there are partners that had the majority of the ownership. There's still founders in the business. And we -- when we thought about the mix of proceeds and how to go about that, we felt like having a little mix of equity in there would be the right alignment, if you will, between that firm and us. And so it wasn't too much more than that.
Tobey Sommer: Okay. One follow-up on the software licenses. Since there can be, I guess, variability in how the customers procure those. Have you included software licenses in your guide? Is it at a lower level than would have been typical historically? Just anything you can give us there?
Ted Hanson: Yes and yes. There is a little bit in our guide. It's lower than it would historically be and there's no bulk purchases in that number. It's fairly disparate.
Tobey Sommer: Okay. So, I'm curious from a big picture standpoint, Ted. The industry and the company had three years of revenue declines, what actions have you taken strategically to be able to grow more quickly and sort of strengthen the organization once demand increases, and I'll put TopBloc to the side for now because we've discussed that on the call already?
Ted Hanson: Yes. Well, look, I mean, I think that TopBloc is one example of things that we've done here, which is to really hone in on and build or strength than muscle in our solutions so that we are there and ready for what our customer needs today and in the future. So, more so than ever, I think there's a strength in solution capabilities that lines up with what our customers need, even if the revenue isn't quite there today, that's the thing that I would say we've moved the furthest on over the last two to three years. I think the other thing is we're kind of honing in and put this with solution strength, but collaboration between our federal units and our commercial units because there are some things in federal will do really well and AI data and cybersecurity at the top of that list. And so I would say the biggest thing would be that just continuing to build that solution strength here. Rand, would you add anything else?
Rand Blazer: Well, I will because you had it in the remarks, Tobey, if you don't mind, our alliance relationships with the big technology players has gotten a lot stronger in the last two years where we have not just support to our technical strength or solution strength, but also lead flow strength. The second thing I've mentioned really comes first and foremost is we continue to stay focused on the right set of accounts, the right set of accounts within the segment to the marketplace, we think are growing and the productivity of our team, both in the client space as well as in our solutions and back office teams. So, we haven't missed a beat in terms of productivity, as you can see by our margins. We maintain, first and foremost, a focus on these accounts and stay with them. So, when they return to spend and need us, we're there. And then yes, as Ted said, strengthening solutions, strengthening internal IT and strengthening alliance relationships.
Tobey Sommer: Last question for me. Could you -- how do Creative Circle perform in the quarter? How did growth compare to the rest of the assignment business?
Ted Hanson: Yes. Thanks. The cyber -- I'd say the CyberCoders, which is most of our firm placement, and Creative Circle together, about 9% of the revenue mix now are down more than our IT offering. So, think about that as kind of low to mid-teens on that side, and that's been kind of consistent with where we were, so not much change there. Although I will say, Tobey, in those areas, we are seeing some of the same good leading indicators within those two units that we're seeing in the overall in the IT area, commercial IT areas that Rand mentioned earlier.
Tobey Sommer: Thank you.
Operator: Thank you. And our next question comes from the line of Mark Marcon with Baird. Please proceed with your question.
Mark Marcon: Hey, good afternoon. Thanks for taking my questions. Rand congratulations on the new position and really glad to hear that you're going to continue to be part of the organization. And hopefully, you actually joined the calls as well and then welcome to Shiv. You've been doing a great job on the margins despite the challenging environment. How much excess capacity do you currently have? And can you give us an update with regards to the internal headcount in terms of where it stands today relative to a year ago?
Ted Hanson: Well, look, Mark, our headcount is pretty steady right now. It's down a little from where it was last year but our capacity there. I mean -- and we're seeing it. I mean, look, you can see it here in the numbers. I mean, our bookings were up 23%, I think, sequentially from the third quarter to the fourth in commercial. They were up about 12% year-over-year. And our team still is able to absorb this and position ourselves to begin the work here as we get into the first quarter, and we're not seeing a capacity problem, if you will.
Mark Marcon: Great. And so I didn't think you'd have a problem. I just meant from the perspective of if business picks up, how much excess capacity do you have? Or are you going to need to add headcount if business picks up?
Ted Hanson: Well, look, obviously, at some point, we'll return to adding headcount. Today, like I said, we're pretty steady, but we've got capacity. And I think you'll -- again, the other thing that's going to happen here as we go, Mark, as you hopefully, as the leading indicators show if we begin to get a steady pick up here in commercial, you're going to see our EBITDA, our gross and EBITDA margins inflect up overall because of the mix of business. Where for the last few years, the commercial has been in a more of a decline in the federal comes at a slightly less margin. So, you're seeing a business mix impact, you'll see that turn around here as we go forward.
Mark Marcon: Great. And then you're not giving specific guidance, but I'm just wondering, should we kind of expect the same level of decline in the government side in the -- for this first quarter, there's just so much uncertainty out there. I just wanted to see if there's a rough range that you could take us down with regards to the government side?
Ted Hanson: I mean, look, I think we've given you -- our guide is based on everything we see today, Mark, what could happen here in that marketplace. I mean, we're not aware of anything that's in our guide that's going to be problematic. But at the same time, there's just still a lot moving around there. So, we've scrubbed our guide pretty hard to that end. I couldn't bracket it for you because I don't think anybody knows what they know.
Mark Marcon: Okay. And then TopBloc, congrats on that. I've followed Workday for since prior to the IPO. So, I know it's fairly well. In terms of TopBloc specifically, what -- do you know which exact sectors they're the most focused on with regards to implementations? And how much of the business do they have is kind of recurring versus purely implementations?
Ted Hanson: So, Mark, their market is across the same diverse industries that we serve, so that's a positive. The one place where they've done less, which obviously, we have the position is in the federal government. And as you know, following Workday, like you do, that's a big initiative, if you will, inside of Workday as an end customer. The piece of the market they've served, I would say, are middle market up to the bottom half of the Fortune 1000, so call it, Fortune 600 to 1,000. So, between that group of players and large middle market accounts, they've got quite a quite a customer list. And then their revenue has a nice mix of implementation work. And then what I'll call post-production services that range from production support, helping to run various services. And so they have a nice recurring revenue stream beyond just the one-time implementation and that work is growing for them quite nicely.
Mark Marcon: Great. And then do you know if you're on both finance as well as HR or just primarily HR?
Ted Hanson: Finance plus HR, full suite.
Mark Marcon: Excellent. So, that should be a really nice complement to what you're already doing with ServiceNow and position you well. Hate to ask this question, but just because it keeps coming up, it's the tariff question. How do we think about Intersys in your Mexican delivery center? Is that -- how are you thinking about that just based on the chatter that's out there?
Ted Hanson: Well, based on what we know today and what we've seen in the past, those types of services are not subject -- have not been subject to tariffs in the way the goods are. So, on that front, that's a positive. That's just historic, right? If you think about the need for technical talent here for U.S.-based clients, obviously, everyone wants to maintain a competitive position here and have access to that talent. And so you've seen a little bit of conversation between big tech and the new administration to make sure the pathway stay open to offshore locations in order to continue to be able to access technical talent, not just here in the U.S., but all over the world. So, that's a positive. But at the end, I'll say, tariffs can have a direct effect on all kinds of things. I mean, you could see costs rise in other parts of the world where there's a tariff implemented, but those are smaller indirect things. And so I think for us, we feel good about it right now, but we have to keep watching where all this goes with the policy and the new administration.
Mark Marcon: Super. Thank you.
Operator: Thank you. And we have reached the end of the question-and-answer session. I would like to turn the floor over to the CEO, Ted Hanson for his closing remarks.
Ted Hanson: Great. Well, thank you, operator. I appreciate everybody's time and attention today for our fourth quarter earnings release, and we look forward to speaking with you again in April to discuss our first quarter of 2025.
Operator: Thank you. And this concludes today's conference and you may disconnect your line at this time. Thank you for your participation.